Operator: Good afternoon. My name is Krista, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Oracle Corporation Third Quarter Fiscal Year 2024 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Ken Bond, Senior Vice President, Investor Relations. Mr. Bond, you may begin your conference.
Ken Bond: Thank you, Krista. Good afternoon, everyone, and welcome to Oracle's third quarter fiscal year 2024 earnings conference call. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplemental financial information can be viewed and downloaded from our investor relations website. Additionally, a list of many customers who purchased Oracle Cloud Services or went live on Oracle Cloud recently will be available from our Investor Relations website. On the call today, our Chairman and Chief Technology Officer, Larry Ellison; and Chief Executive Officer, Safra Catz. As a reminder, today's discussion will include forward-looking statements, including predictions, expectations, estimates, or other information that might be considered forward-looking. Throughout today's discussion, we will provide some important factors relating to our business, which may potentially affect these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from statements being made today. As a result, we caution you against placing undue reliance on these forward-looking statements and we encourage you to review our most recent reports including our 10-K and 10-Q and any applicable amendments for a complete discussion of these factors and other risks, which may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or these forward-looking statements in light of new information or future events. Before taking questions, we'll begin with a few prepared remarks. And with that, I'd like to turn the call over to Safra.
Safra Catz: Thanks, Ken, and good afternoon, everyone. We had another excellent quarter with third-quarter revenue coming in as expected and EPS $0.02 above the high end of my guidance range. Now, before I get into the results of the quarter I wanted to touch on the strength of our infrastructure cloud business. OCI has emerged as the largest driver of our overall revenue acceleration growing much, much faster than our cloud competitors. Customers have figured out that by moving to OCI they can really get more while paying less, but it's not just the cost that matters to our customers. Beyond the superior price performance of OCI customers are choosing Oracle and Oracle services for multiple reasons. First, we know better than anyone what it takes to run the full stack of technology that goes into mission-critical workloads. I'm talking about running at enterprise scale with comprehensive security and unparalleled support and that's from decades of experience running the world's most important workloads and optimizing clustering technology, which is critical to artificial intelligence, workloads, and database services. Secondly, our AI capabilities are unique as they're built-in to help customers drive business outcomes. This is more than integrating generative AI across our Fusion and Industry Cloud applications and autonomous database, which we have done. It's also about enabling and refining these AI models with the customer's own data to better understand and serve their operations without them losing control of their own data. Third, we provide deployment flexibility for customers based on how they want to run in the cloud. In addition to offering public cloud services, we remain the only vendor which also offers a dedicated and complete cloud of customer, dedicated regions, sovereign clouds, and Alloy, our partner cloud so customers don't have to compromise the services they receive while meeting their deployment needs. And finally, we provide multi-cloud offerings so customers can consume our cloud services in the public cloud of their choice. We offer Oracle database at Azure with Microsoft as well as MySQL HeatWave through multiple clouds and you can expect more multi-cloud services to come. Now to Q3 results, which I'd like to point out I had the actual results on day five and signed off with my auditors days ago. So I'm just bragging a little bit but I couldn't help it, I know a lot of CFOs are pretty jealous. As I mentioned earlier, total revenue came in at the midpoint of my constant-currency guidance and EPS was above the high-end of guidance. As was the case when I gave guidance last quarter, currency had little effects in Q3. But I'll still discuss our results using constant currency growth rates in the few areas that the rates are slightly different. So here we go. Cloud revenue that's SaaS and IaaS excluding Cerner was $4.4 billion, up 26%. Including Cerner, total cloud revenue was up 24% at $5.1 billion with IaaS revenue of $1.8 billion, up 49%, and SaaS revenue of $3.3 billion, up 14%. This quarter marks the first time our total cloud revenue is more than our total license support revenue. So we have crossed over total cloud services and license support revenue for the quarter with $10 billion, up 11% driven again by our Strategic Cloud Applications, Autonomous Database, and OCI. Application subscription revenues, which includes product support were $4.6 billion and up 10%. Our strategic back-office SaaS applications now have an annualized revenue of $7.4 billion and were up 18%. Infrastructure revenues which includes license support were $5.4 billion and up 13%. Infrastructure cloud services revenue was up 49%. Excluding Legacy Hosting Services, OCI Gen2 infrastructure cloud services revenue grew 52% with an annualized revenue of $6.7 billion. OCI consumption revenue was up 63%. Where if not for some continuing supply constraints, consumption growth would have been even higher. Database subscription revenues, which include database license support were up 5%. And highlighted by cloud database services, which were up 34% and now has annualized revenue of $1.9 billion. Very importantly, has on-premise databases migrate to the cloud, we expect these cloud database services will be the third leg of revenue growth alongside strategic SaaS and OCI. Software license revenues were $1.3 billion, down 3%. So all in, total revenues for the quarter was $13.3 billion, up 7% including Cerner and up 9% excluding Cerner. Now to margins, the gross margins for Cloud Services and License Support was 77%. This is as before a result of the mix between support and cloud in which cloud is growing much faster than support. Support and SaaS gross margin percentages are consistent with last year while IaaS gross margins improved substantially year-over-year. While we continue to build data center capacity, overall gross margins will go higher as more of our cloud regions fill up. We monitor these expenses carefully to ensure gross margin percentages expand as we scale. And to that point, gross profit dollars of Cloud Services and License Support grew 8% in Q3. Non-GAAP operating income was $5.8 billion, up 12% from last year. Operating margin was 44%, up from 42% last year as we continue to drive more efficiencies in our operating expenses, which continue to trend down as a percentage of revenue. Looking forward, as we continue to benefit from economies of scale in the cloud and drive Cerner profitability to Oracle standards, we will not only continue to grow operating income but we will also expand the operating margin percentages. The non-GAAP tax rate for the quarter was very close to my guidance at 18.9%, and non-GAAP EPS was $1.41 in USD, up 16% in both USD and constant currency. GAAP EPS was $0.85. At quarter-end, we had nearly $9.9 billion in cash and marketable securities. And short term deferred revenue balance was $8.9 billion, up 4%. Over the last four quarters, operating cash flow was $18.2 billion, up 18% and free cash flow was $12.3 billion, up 68%. Capital expenditures were $6 billion over the same time period as we continue to see cash-flow benefits from our cloud transformation. Our remaining performance obligation or RPO is now over $8 billion with the portion excluding Cerner up 41% in constant currency. We signed several large deals this quarter and we have many more in the pipeline. Approximately 43% of our total RPO is expected to be recognized as revenue over the next 12 months. And this reflects the growing trend of customers wanting larger contracts as they see first-hand how Oracle Cloud Services are benefiting their businesses. And we expect to have some very nice joint announcements with NVIDIA next week. Now while we spent $2.1 billion on CapEx this quarter, the $1.7 billion in the cash-flow statements is slightly lower just due to the timing of payments. So the $2.1 billion is actually what we spent and will pay for. We are working as quickly as we can to get the cloud capacity built out given the enormity of our backlog and pipeline. I expect the CapEx will be somewhere around $7 billion to $7.5 billion this fiscal year, meaning our Q4 CapEx should be considerably higher. To that point, we now have 68 customer-facing cloud regions live with 47 public cloud regions around the world and another eight being built. 12 of these public-cloud regions interconnect with Azure and more locations with Microsoft are coming online soon. We also have 11 dedicated region slots and 13 more planned. Several national security regions in EU sovereign regions live with increasing demand for more of each. And finally, we already have two Alloy cloud regions live with five more planned where Oracle Partners become cloud providers offering customized cloud services alongside Oracle Cloud. And of course, we have also many, many, many clouded customer installations. As I mentioned earlier the sizing, flexibility, and deployment optionality of our cloud regions continues to be incredible advantage for us in the marketplace. And as we've said before, we're committed to returning value to our shareholders through technical innovation, acquisitions, stock repurchases, prudent use of debt, and a dividend. And this quarter, we repurchased 4 million shares for a total of $450 million. In addition, we paid out dividends of $4.4 billion over the last 12 months. And the Board of Directors declared a quarterly dividend of $0.40 per share today. Now, before I dive into Q4 guidance, I'd like to share some thoughts on what I see for the next 12 months or so. As demand for our Cloud Services continues getting stronger, our pipeline is growing even faster and our win rates are going higher as well. As our supply constraints ease revenue growth rates will accelerate higher as our capacity expands and we get into fiscal year '25. I should also say that we continue to expect the FY '24 of which we are now in the fourth quarter, total revenue excluding Cerner will accelerate from last year as it has for the past three years and will likely be significantly higher in FY '25. In addition, Cerner, which is a significant headwind this year, we expect to return to growth next year. And final - and I remain firmly committed to our FY '26 financial goals for revenue, operating margin, and EPS growth. However, some of these goals might prove to be too conservative given our momentum. Let me now turn to my guidance for Q4, which I'll review on a non-GAAP basis as always. And if currency exchange rates remain the same as they are now, currency should have little effect on total revenue and EPS. However, of course, actual currency impact may be different. So, at least right now, all the numbers are the same for constant currency and USD. Total revenues including Cerner are expected to grow from 4% to 6%. Total revenue excluding Cerner are expected to grow 6% to 8%. The total cloud revenue excluding Cerner is expected to grow from 22% to 24% as more capacity comes online in Q4. The EPS growth rate will be affected by the compare as our Q4 tax rate last year was 9.2%, which I believe most of you have already accounted for in your models. And my EPS guidance for Q4 assumes a base tax rate of 19%. As always, one-time tax events could cause actual tax rates to vary from my guidance as stated last year. So with that, non-GAAP EPS is expected to be down 2% or to flat and be between a $1.62 and $1.66. And with that, I'll turn it over to Larry for his comments.
Larry Ellison: Thank you, Safra. Well, Oracle signed another big Generation 2 cloud infrastructure contract with NVIDIA in Q3. Oracle's Gen2 AI infrastructure business is booming. That's become pretty clear to everybody. But in addition to selling infrastructure for training AI large language models, Oracle is also completely re-engineering its industry-specific applications to take full advantage of generative Artificial Intelligence. The best example of this is in Healthcare where Oracle did not just add a bit of AI around the edges of the existing applications. Instead, we developed completely new applications using our Apex Application Generator and our Autonomous Database. These all new applications use generative AI throughout the application. The best example is in Healthcare where our new Ambulatory Clinic System is being delivered to customers this Q4. This completely new application features a voice interface called the Clinical Digital Assistant. The Clinical Digital Assistant listens to a doctor's consultations with a patient and automatically generates prescriptions, Doctor's orders, doctor's notes, then automatically updates the patient's electronic health records. The Clinical Digital Assistant's voice interface makes our new healthcare systems dramatically easier to use and saves hours of doctors precious time every day which now can be spent with patients rather than typing into a computer. The delivery of our new AI-centric healthcare cloud applications, including the Ambulatory Clinic System, the Clinical Digital Assistant, and the Health Data Intelligence System will enable the rapid modernization of our customers' healthcare systems and transform Oracle Health and Cerner into a high-growth business for years to come. Ken, back to you.
Safra Catz: We don't hear you, Ken.
Ken Bond: Thank you. Thank you, Larry. Sorry about that. Krista, if you could please poll the audience for questions and if we can proceed from there? Thank you.
Operator: [Operator Instructions] Your first question comes from the line of John DiFucci from Guggenheim Securities. Please go ahead.
John DiFucci: Thank you. Safra, the infrastructure as a service growth of 49% implies a herculean increase in new business coming online, new ARR the way we model it anyway something I just thought you wouldn't be able to do this quarter given how much you had to do though we've realized we don't know the timing of when deals come online. But last quarter you said you were going to reallocate resources to focus on some of these very large OCI deals to get them implemented earlier so you start to get revenue earlier. Is that what happened this quarter? Is that what we're seeing or is that still to come?
Safra Catz: Honestly, John, that is still to come. So, this is just pretty much our regular way business. That's what you're seeing. We have enormous amounts of demand. I tried to make that clear last quarter, and we have more capacity coming online. But we have tried to - we're trying to focus on much larger chunks of data center capacities and electricity and all of that and that's just - that all to come. This is really our regular way business and our customers just growing and a whole bunch of new customers, by the way. I think there are many, many customers who have come on and that haven't gotten capacity yet. We've got at least 40 new AI bookings that are over $1 billion that hasn't come online yet.
Larry Ellison: Okay, let me add that Oracle has been building data centers at a record level and a lot of people I think are aware that we can build fairly small data centers to get started when we want to. But the unique thing about Oracle's data centers, they're all identical except for scale. We did not have custom data center. They all have all the Oracle services. They are all complete. One of the things that's unusual about them, they are all completely automated. They come up on their own and they kind of run their selves. I mean, look, we do have a bunch of people working on these data centers but they are extremely highly automated. Our operating system is Autonomous Linux. Our database is the Oracle Autonomous Database. Our new HeatWave database, Microsoft - MySQL HeatWave, it's highly automated. And therefore, we can build every time we build a data center, it's like the data center we've built before except for one thing, scale. We can go very small. We can get a full cloud data center with all the services in [10 racks]. But this is what I want to point out. We're also building the largest data centers in the world that we know of. We're building an AI data center in the United States where you could park eight Boeing 747s nose-to-tail in that one data center. So, we are building large numbers of data centers, and we were - and some of those data centers are smallish, but some of those data centers are the largest AI data centers in the world. So, we're bringing on enormous amounts of capacity over the next 24 months because the demand is so high, we need to do that to satisfy our existing set of customers. To give you an idea. One more thing, in terms of data centers we're building 20 data centers from Microsoft and Azure. They just ordered three more data centers this quarter. They're adding to that already. And there are other multi-cloud agreements that are being signed. There are multicloud - a number of multicloud agreements in Japan where computer manufacturers in Japan are adopting our cloud and will be reselling our cloud as partners. And we think NRI is already doing that, but there a number of other companies that are going to be doing that. So that's something we're seeing over demand for data centers or people who want to buy Alloy and then resell our cloud services with their proprietary cloud services on top of it. We're seeing that. So some of our largest customers all over the world want their own Oracle region. They don't want to share a public cloud, they want a cloud region dedicated or actually multiple cloud regions dedicated to that bank or that technology company or that telecom company. So they are building their own data centers which are - those are Oracle cloud data centers, they are that - yes, they're all identical. So we're able to automate and run those with not a lot of additional labor costs. It's a huge advantage for us.
John DiFucci: Well, thank you, Larry, and Safra. Listen, what you put up this quarter in Infrastructure as a Service, it just looks pretty impressive. But it sounds like there's a lot more to come. Thank you for taking my question.
Larry Ellison: John, my last comment will be - would be the growth in RPO is what's to come. And RPO is obviously growing faster than revenue because we can't meet the demand. That's the measure of demand, the $80 billion RPO is quite a - an acceleration of demand. So demand is not slowing down, it's actually increasing quite a bit.
John DiFucci: Well, there were lot of questions on that last quarter, and I guess there won't be any on this one. Thank you.
Ken Bond: Thank you, John. Next question, please.
Operator: Your next question comes from the line of Raimo Lenschow from Barclays. Please go ahead.
Raimo Lenschow: Hi, thank you, and congrats from me as well. I wanted to talk a little bit about Cerner. In the announcements, you talked about that most of Cerner now it's - is running out of your OCI. Well, first of all, let a very quick turnaround here, so well done. What's kind of the implications for that both from running efficiency but also innovation on the platform? Thank you.
Larry Ellison: Well, two things. One is we save a huge amount of money moving them into our standard data center. Our OCI costs are much lower than the cost of the Cerner dedicated data center in Kansas City. Also, the big thing that we're excited about is OCI is highly secure, it's got a highly secure perimeter and therefore those applications are much less vulnerable to ransomware or other kinds of attacks than if they were in a different kind of data center. So we're very happy that these are now secured. The third thing is now that they're in our cloud, we're able to update those applications on our regular three months cadence. So, we're able to modernize those customers that are in the cloud on a regular basis and start delivering our brand new applications that completely rewritten Cerner application. First for ambulatory clinics and then eventually for acute-care hospitals. But ambulatory clinics system is coming out this quarter and we're able to automatically deliver that system to existing customers. It's not a reimplementation. It is literally an update to what they've already got running on the Oracle Cloud. Even though it's an all-new application, I'm not going to see much technical detail, but it uses the same underlying data schema. So, we literally can bring up the new application without the customer having to go through any implementation process. We can do it just as an update, like when we ship a new version of Fusion to an existing Fusion customer. We can now ship a new version of - an all-new version of the Cerner application to a Cerner customer in OCI. So it allows us to modernize their infrastructure very, very rapidly, deliver the Voice - Clinical Digital Assistant, make the system easier to use, save doctor's time, deliver a lot more value put it in the diagnostic imaging systems that help data intelligence system, deliver all of that automatically on a regular three-months cadence. So, it allows us to modernize the Cerner base very, very quickly while keeping them safe from ransomware.
Raimo Lenschow: Perfect. Thank you.
Operator: Your next question comes from the line of Ben Reitzes from Melius Research. Please go ahead.
Ben Reitzes: Yes, thanks. It's a pleasure to be speaking with you this afternoon. Larry and Safra, can you talk a little bit about CapEx? Your guidance implies almost doubling of CapEx in the fourth quarter and then what kind of trajectory is needed for the next fiscal year given this RPO growth? What kind of uptick is needed? And Larry, if you don't mind, what - if you can give some color on GPU availability and how that plays in versus data center requirements in terms of that spending? Thanks so much.
Safra Catz: So, for fiscal year '25, looking at about $10 billion in CapEx because it's also involves not only some big centers, but it also involves expansions of existing centers. So we've already got some areas that we will be filling out. So at least preliminarily, we're looking at $10 billion for next year. And then it's not too complicated to figure out the math here when I'm looking at somewhere between $7 billion and $7.5 billion for the full year and you've got all the numbers for one, two, and three at this point. And I would include for Q3 the one we just are announcing. I would add in the amount we haven't paid yet as the CapEx number for this quarter. Okay? And then I guess that would be and then Larry gets the second question. But anyway, so $2.1 billion for this quarter and you've got Q1 and Q2 and I'm going to be somewhere between $7 billion and $7.5 billion for the full year, which is actually a little bit lower than I thought. But we were able to do pretty well. You know-how we spend very carefully.
Ben Reitzes: Great, thanks. And Larry, the amount that - how is the GPU availability in terms of hitting your goals and vis-a-vis other bottlenecks that could be out there?
Safra Catz: Can I take at least part of this?
Ben Reitzes: Oh, yes, sure.
Safra Catz: The GPU we are good. We are actually very good in our GPU access and capability. So, building the computers and that it's much more making sure we've got the power on that.
Larry Ellison: Yes.
Ben Reitzes: Thank you.
Larry Ellison: And as Safra says, we have - so, as Safra says, we have a great relationship with NVIDIA. They're a customer of ours as well as us being a customer of theirs and we work very closely together. So, that's going pretty well. Building these let them is the scale of some of these data centers is breathtaking. Again the one we're building in Salt Lake. Again, you can park 8747s nose-to-tail. We can give you a video of this thing under construction, but it's hard, I mean, it's breathtaking. So, there is a tremendous amount of demand, the data centers take longer to build, and we would like that said, we are getting very good at building them quickly and getting the building the power and the communication links in, we're doing faster than we have ever happened in the past. And the thing is once we deliver the hardware, the hardware comes up very, very quickly because the process of bringing up the hardware is now automated. It's very different than it used to be. So, we're able to bring additional capacity online very quickly if we have that the electric power and the communication lines. So, is the long pole in the tent is actually building the structure, connecting the electricity, connecting the communication lines.
Ben Reitzes: Thanks, Larry. Appreciate it. Congrats something OCI growth.
Larry Ellison: Thank you.
Operator: Your next question comes from the line of Derrick Wood from TD Cowen. Please go ahead.
Derrick Wood: Great, thank you. Larry, just within the last few months you guys have enabled Oracle Database and OCI to be run on top of Azure, which seems like a fairly significant development. Can you talk about what the customer reception has been around this announcement? How you think it could change the arc of new investments on the Oracle Database platform? And what this means for potentially unlocking a stronger adoption cycle for Autonomous Database?
Larry Ellison: Well, I think it is the key to unlocking a stronger adoption cycle for a - moving Oracle in general to the cloud in general and specifically the migration to Autonomous Database. Oracle, we expect the multicloud initiatives to continue to expand. We're seeing it expand in Japan, but we expected to expand amongst other hyperscalers to adopt a similar multi-cloud approach where we built and we built OCI regions inside of the coexisting with their existing cloud infrastructure. We think the world - the era of walled gardens is coming to an end where it used to be okay, I'm going to move all my stuff to AWS, trying to move all my stuff to Azure. What customers really want is the ability to use multiple clouds and for those multiple clouds to talk to one another. And I think - I mean in the era of the Internet and now cloud computing, it's really called Cloud Computing. It's not called a bunch of separate clouds. So we expect that multi-cloud to become the norm and Oracle to be available everywhere. And we - and that's what you said, we think that will preserve our franchise and database where we've been the number-one database in the IT ecosystem for a very long-time. We think that's going to preserve that franchise and expand it because the Autonomous Database is a unique piece of technology and there is nothing like it in the world, and maybe the most interesting thing, no one else is working on anything like that. No one else even trying to duplicate the Autonomous Database. So, we think it will be - it will become a very successful product in every cloud.
Derrick Wood: Thanks, Larry.
Operator: Your next question comes from the line of Kirk Materne from Evercore ISI. Please go ahead.
Kirk Materne: Yes, thanks very much for taking the questions and congrats on a incredible bookings this quarter. Larry, I was wondering if you could just talk a little bit about the interest level on Alloy in international markets where there might be a bit of a premium on data sovereignty and maybe how that's impacting the growth opportunity for OCI when we look out towards the balance of calendar '24? Thanks.
Larry Ellison: Well, I think Japan is maybe the most interesting market where we had early success with NRI. They run the Tokyo Stock Exchange. No - what NRI has is just is an Oracle - a couple of Oracle Cloud regions which they resell in the financial services community inside of Japan. And one of their applications is a major stock exchange, the Tokyo Stock Exchange. So, think about how many clouds run stock exchanges, that would be ours. It's got to be highly secure, it can never go down, it's going to have extremely high transaction rates, we can do that. And the success of NRI is caused other - the other computer companies in Japan to become very, very interested and also reselling our cloud with - and we also have the ability that they can add on some of their own technology to our cloud so, our cloud is open so you can plug-in other things to the cloud. So, imagine a big computer company in Japan adopting the Oracle Cloud, reselling Autonomous Database, reselling all of our technologies because all we --we only make one kind of cloud, they're all the same and they have all of the services. But then that company can add their own services to there for their customers. We think all of the cloud companies in Japan are going to adopt OCI. Plus a lot of big companies, the big car companies in Japan. We want around their own, the phone companies in Japan will want their own, the technology companies in Japan will want their own Oracle regions. And because they are sovereign because they are highly secure and because they are highly cost-effective, so we think this allows us to enter a variety of new markets. Pretty much every government is going to want a sovereign cloud and a dedicated region for that government for not only to - so we see a number of countries. It's funny, we talked about winning business with companies. For the first time, we're beginning to win business country - per countries for sovereign cloud where the national government and the state governments are moving to that Oracle OCI region. And of course, it's got to be at least two of them for redundancy and disaster recovery. So, we have a number of countries where we're negotiating sovereign regions with the national government. We see that time and time again, major companies, governments, computer suppliers reselling our Alloy Cloud. The demand for our cloud regions is extraordinarily high. I believe we will end up - well, this is a funny prediction, but okay, we'll end up with more data centers and cloud regions than all the other hyperscalers combined.
Safra Catz: Yes. I think that's the story.
Larry Ellison: That's what I believe.
Safra Catz: So, just to make sure you have all the numbers between Alloy and dedicated regions, we've got 13 lives. We've got 18 under-construction. And we've signed five new ones just this past quarter. So for us, it's - they're just - there's just a list we're going through and trying to get them all because they are such a unique capability and in such high demand.
Larry Ellison: Yes. And let me just add one last thing. Microsoft does not compete for this business. AWS does not compete for this business. Google does not compete for this business. We're the only ones in this business.
Kirk Materne: Thank you, all.
Operator: Our final question today comes from Brad Zelnick from Deutsche Bank. Please go ahead.
Brad Zelnick: Thanks very much for taking my question. Larry, my question actually follows on your answer to Kirk's question because I think it's so important. In talking to one of your GSI partners we heard about a global public sector solution that they referred to as government in a box where Oracle in partnership with likes Starlink, the Tony Blair Project, our building solutions on top of OCI including [Absence Check] and even Cerner. So, literally run the entire country's digital operations. So, hoping you can add even a little bit more color about what you're doing here. How big an opportunity it is because it just seems like it's such a powerful example of the entire Oracle Cloud Stack coming together in a very meaningful way?
Larry Ellison: All right. It is really, really - it is very interesting. And we've gone into the National Government and State Government applications in a very, very big way to give you an idea a little glimpse of what we're doing. Yes, because we can't deliver these cloud regions to medium-sized countries. So, for example, Serbia is standardizing on - or these Oracle Cloud regions for their National Government. We're automating their healthcare and people know that we're in the healthcare business. What they might not know is in cooperation with Starlink we're able to deliver an Internet service to - for the entire country. The rural part of the country, by the way, we can deliver the Internet and we have delivered the Internet. Let's say Kenya or Rwanda very inexpensively using Starlink and our sovereign cloud regions to backhaul the Internet traffic. So, you can bring every school in Serbia online the Internet connectivity even if they're rural doesn't matter. Every school, every hospital as is true of Rwanda, that's true of Kenya. We can do it very, very cost-effectively and one of the applications we have for agriculture, we actually do a national map of the country where we can show you each of the farms in the country, what they're growing - this farm is growing coffee, this farm is growing maze, this farm - what's part of the fields are getting enough nitrogen, which part of the fields are getting enough water? What corrective actions you need to take to increase your agricultural output? We're doing that again in concert with Elon Musk and SpaceX to do this kind of mapping to provide this AI-assisted and then these maps are AI-assisted help them plan their agricultural output and predict their agricultural output, predict markets, the logistics of the agricultural output during all of those things as next-generation national application. And it is one of the most exciting things we're doing, of course, we do procurement and accounting and human resources and recruiting for the government, we do all of those applications. But in some of the newer applications, regarding food security. Making sure all the schools are online. Rural growth schools are online. That rural hospitals are online. It's automating those rural hospitals. It's automating their vaccination program, their healthcare program across the board. These next-generation applications are very attractive. I'll tell you one other crazy thing that we do. It's another generative AI application. If you want to join the EU, it took Serbia eight years to harmonize their laws to be able to join the EU. Albania is facing the same thing. But with generative AI, we can read the entire corpus of the Albanian laws and actually harmonize their laws with the EU and probably more like 18-months to two years rather than the eight years it took Serbia. So, there are all sorts of interesting new AI applications out there that people you've probably never heard of before or at least I hadn't heard of before, until this last 12 months. Now that we've worked on and we're now in the process of delivering.
Brad Zelnick: Really amazing stuff. Larry, thank you and congrats. And Safra, really great to see the firm reiteration of your fiscal '26 targets. Thanks so much for taking my question.
Safra Catz: Thank you.
Ken Bond: Thank you, Brad. A telephonic replay of this conference call will be available for 24 hours on our Investor Relations website. Thank you for joining us today. And with that, I'll turn the call back to Krista for closing.
Operator: Thank you, everyone. This does conclude today's conference call. Thank you for your participation and you may now disconnect.